Operator: Good afternoon and thank you for standby. And welcome to the Eventbrite First Quarter Fiscal Year 2023 Earnings Conference Call. At this time, all participants are in listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to Ms. Katherine Chin, Head of Investor Relations. Please go ahead.
Katherine Chen: Good afternoon and welcome to Eventbrite's first quarter 2023 earnings call. Prior to this call, we released our Shareholder Letter announcing our financial results, which can be found on our website at investor.eventbrite.com. Before we get started, I would like to remind you that during today's call, we will be making forward-looking statements regarding future events and financial performance. We caution that such statements reflect our best judgment as of today, May 9th, based on factors that are currently known to us and that actual future events or results could differ materially due to several factors many of which are beyond our control. For a more detailed discussion of the risks and uncertainties affecting our future results, we refer you to the section titled forward-looking statements in our Shareholder Letter and our filings with the SEC. We undertake no obligation to update any forward-looking statements made during the call to reflect events or circumstances after today or to reflect new information or the occurrence of unanticipated events, except as required by law. During this call, we will present adjusted EBITDA, adjusted EBITDA margin, and available liquidity, which are non-GAAP financial measures. These non-GAAP financial measures are not prepared in accordance with Generally Accepted Accounting Principles and have limitations as an analytical tool. You should not consider them in isolation or as a substitute for analysis of our results of operations as reported under GAAP. A reconciliation to the most directly comparable GAAP financial measure is available in our Shareholder Letter. We encourage you to read our Shareholder Letter as it contains important information about GAAP and non-GAAP results. And with that, I'll now turn the call over to Julia Hartz, Co-Founder and Chief Executive Officer.
Julia Hartz: Thanks Katherine and thank you to everyone for joining our call today. We're off to a great start in 2023 with strong first quarter performance. We powered nearly $1 billion in gross ticket sales as consumer demand for live events kept growing. Revenue was up 39% versus last year, which was the highest quarterly level in 3 years. We're also seeing great returns from improving the product experience and platform capabilities focused on creators of frequent events. Adjusted EBITDA was positive for the seventh quarter in a row, while we made meaningful investments in demand generation growth. In fact, revenue from Boost and adds tripled year-over-year. It's exciting to see that positive momentum in our marketplace strategy. And I think meaningful value creation is ahead as we seize that opportunity. In the first quarter, we grew our reach to a 172,000 paid event creators, which was 27% higher than a year ago. In fact, we actually accelerated creator acquisition growth to the highest level in a year and added a 115,000 new creators in the first quarter. These creators connected to 11 million consumers who bought 23 million paid tickets, which represents 28% year-over-year growth. People want to connect with other people through local and unique events and the demand for great things to do with friends continues to grow. In the first quarter, we ticketed 1.5 million free and paid events across a wide variety of categories and geos. Consumer growth in the first quarter at 17% was 10 points higher than the average growth in 2022. We continue to add tremendous value by connecting creators to consumer demand. Eventbrite driven demand accounted for over $200 million of gross ticket sales during the first quarter. For the average creator that means roughly 20% of their ticketing income is associated with listing on Eventbrite. But the value of each additional ticket buyer goes far beyond the face value of the ticket. Our recent creator survey showed that over 50% of average revenue for Eventbrite listed events comes from things like merchandise, food and beverage, and lead generation. Therefore, every single incremental person at an event represents not only an outsized economic value to our customers, but also pure profit margin once they've cleared the cost of producing the event. Additionally, over 25% of Boost and Ad's customers run historically free ticketed events where the revenue is somewhere else in the event, just not in the ticket. This is obviously an exciting opportunity for us to monetize that event inventory, which is critical to our marketplace. We are dedicated to always improving our product experience. As we've accelerated our marketplace strategy, our product execution is anchored in a deep empathy for our customers. We've made good strides in our delivery pace and positive impact of the product improvements, but our work is far from over, and we remain focused on helping creators drive demand for their live events and get time back by making the product easier to use. While the improvements to the current experience were plentiful in the first quarter at over 20 updates, I want to take a moment to highlight four areas of significant improvement. First, we've rolled out AI to some of the most important areas of the product where user-generated content is key to enable our creators to be more successful. Starting with Boost, we already see creators who use AI assistance with social paid ad coffee launch their campaigns 30% faster. These creators also are launching nearly three times as many campaigns because of the efficiency and the effectiveness. We're fast following with AI-generated features on our event listings page, the most traffic part of Eventbrite. This will meaningfully drive down the amount of time it takes to create a new event and will likely improve conversion. Second, we expanded the surface areas for Eventbrite ads, which is a way for creators to promote their listings in high-intent discovery experiences on Eventbrite. We rolled out ads on category and City browse, which have quickly become the two highest-performing pages for Eventbrite ad click-through rates. We also expanded the availability of ads to new markets in Canada and Australia. Third, we made it easier for creators to understand where their sales are coming from and which channels drove the most amount of traffic and highest conversion. This dashboard report also helps highlight Eventbrite's contribution to driving ticket sales and purchase conversion rates as we reinforce our marketplace positioning. Fourth, we have made event listings more beautiful and engaging with the addition of image carousels and video. We've seen quick adoption of this feature with over 20% of new listings taking advantage of a better way to showcase the vibe of their event. We are also pleased to see positive impact to our creators businesses from improvements we've made prior to Q1. Ads alone delivered close to 55 million impressions in less than a year since launch. And combined, boosts and ads grew year-over-year to exit Q1 at an $8 million annualized run rate. Additionally, our redesigned follow feature is drawing 40% more clicks from consumers who want to follow their favorite creators. We're committed to continuous improvement and delivery, and taken together, the compounding effect of these improvements is yielding greater consumer engagement. Website and app combined traffic is up 36% year-over-year, and MAUs on the mobile app is at an all-time high. Keeping the needs and goals of our customers at the center of all we do is driving retention. I hear more and more comments from customers who recognize and appreciate the constant improvement over the last three years, which is excellent. Last, before I turn the call to Lanny, I'd like to take a moment and acknowledge a few recognitions. Eventbrite was recently named one of Fast Company's 50 most innovative companies, and our social connection project was featured on its 2023 World-Changing Ideas List. The social connection project is Eventbrite's initiative to help people feel less isolated and more connected through the power of live experiences. We are joining with leading partners like US Surgeon General, VivicMurthy to combat loneliness, which is our next public health crisis. We are working to design practical interventions and inspire event creators to be agents of positive change. Our newly published corporate responsibility report details all of our hard work in these important areas. I'm proud of all we've achieved and feel truly honored to work with teammates who live these values every day. Now, Lanny will discuss our Q1 results and Q2 outlook. Lanny?
Lanny Baker: Thank you, Julia. We had a strong first quarter. Creator and attendee trends remained healthy, and our product momentum and strategy are becoming increasingly evident drivers of the company's financial performance. Revenue of $77.9 million exceeded the high end of our outlook range, and the upside can be traced to strong consumer demand across the event right marketplace, improved monetization of ticketing capabilities, and the growth of our marketing and marketplace services. Gross margins reached a new quarterly record, thanks to ticket volume operating leverage as well as increased revenue from demand gen solutions. Adjusted EBITDA was positive for the seventh consecutive quarter, and the restructuring we undertook in Q1 points to greater efficiency and profitability in the future. We ended the first quarter with a stable balance sheet and $358 million in available liquidity, as described in our shareholder letter. Our first quarter results position us well for the remainder of 2023. And as a result, we revised our full-year outlook to reflect slightly stronger year-over-year revenue growth at the midpoint of the business outlook range. Let me provide more detail on first-quarter revenue drivers, expenses, and adjusted EBITDA, and then I'll discuss our 2Q and full-year outlook. Paid creators grew 27% year-over-year to 172,000. Total creators, including those hosting free events, exceeded 380,000 in the quarter. Paid events per creator averaged 3.1 events, down slightly from 3.2 events in Q1 of 2022. Total paid events reached $533,000 in Q1, growing 21% year-over-year to a seasonal record for the first quarter of the year. Paid tickets per event averaged 44%, up from 41% in the same quarter of last year. We saw growth in the number of larger events ticketed and promoted on our platform as well as strong consumer interest across most categories and regions. Total paid ticket volume of $23.2 million was up 28% versus a year ago, with year-over-year growth of 24% in the United States and 36% outside the US. Average ticket price was just over $39 for the first quarter, down slightly from a year ago, and gross ticket sales were $906 million, up 26% year-over-year. Finally, the revenue take rate was 8.6% in the first quarter, and revenue per ticket was $3.36, both of which represent new records, up 10% and 9%, respectively, versus a year ago. There were two main drivers of improved monetization in Q1. The pricing change we initiated in January of this year accounted for approximately three quarters of the left, and the remainder came from Boost and Eventbrite ads, which nearly tripled year-over-year on a combined basis. Our marketing tools and demand gen efforts continue to resonate well. Boost subscribers grew by 20% between the start and finish of Q1, and ad revenue grew even faster. Turning to the P&L. Gross margins reached 66% and were even a bit higher than that, excluding $800,000 in restructuring costs recorded to cost of revenue in Q1. We expect gross margins to move into the upper 60% range as we grow ticket volume and blend in more revenue associated with demand generation. Total operating expenses were $65.3 million in Q1. Within that total, we recorded $8.1 million in restructuring costs. We also recorded a $900,000 reserve reversal in the first quarter. The line-by-line details of these items can be found in our shareholder letter. Excluding restructuring costs and the reserve reversal, operating expenses totaled $58.2 million on an ongoing basis in the first quarter, an increase of 12% year-to-year and a $2 million reduction versus Q4 2022. Product development expenses rose 19% year-over-year, excluding restructuring charges. We expect product and engineering to remain our largest areas of investment as we strengthen the marketplace. However, we also expect to gain margin leverage against product and engineering as our investments drive revenue growth. Sales and marketing expenses were up 20% year-over-year, excluding restructuring charges. We have expanded our product marketing team, which is helping propel Boost and Eventbrite ads, and we added staffed, and advertising spend to support revenue growth. Finally, general and administrative expenses were flat year-to-year, excluding restructuring and reserves. We are managing G&A costs carefully to drive operating leverage and to free up resources for revenue-driving investment elsewhere. On a reported basis, adjusted EBITDA was $2.1 million in Q1. Excluding the impact of restructuring costs and reserve adjustments, first quarter adjusted EBITDA was $10 million, representing an adjusted EBITDA margin of 13% compared to roughly breakeven in the first quarter of 2022. The restructuring plan we announced last quarter has been designed to increase efficiency in our core ticketing operations and help accelerate our transition to a live events marketplace. Already, we have reduced our workforce in certain areas, exited leases, and modified vendor agreements. We are on track to our goal of freeing up $13 million to $14 million in annual operating costs in 2023, savings that we intend to partially reinvest in talent to drive our marketplace strategy. Additionally, we're in the process of relocating roughly 30% of our roles to lower-cost hubs in Spain and India. And we expect this realignment to provide incremental operating leverage that will allow us to reach our 20% adjusted EBITDA margin target before the end of 2024. Now turning to our business outlook. We currently anticipate second-quarter revenue to be within a range of $76 million to $79 million. The midpoint of that range would correspond with a fairly normal seasonal revenue pattern from Q1 to Q2. Looking to the year, we've updated our business outlook and now anticipate full-year 2023 revenue to be within a range of $317 million to $330 million. At the midpoint, our revenue growth rate for the year would be 24% over 2022, slightly higher than in our original outlook. The higher end of that range would likely correspond with stronger contributions from marketing and consumer product initiatives in the year, along with a fuller benefit of ticket fee changes and strong growth for Eventbrite ads. Factors that could trend results towards the lower end of the range include weaker macroeconomic conditions impacting events supply or demand, higher levels of customer churn in reaction to product and pricing changes, and transition challenges arising from our restructuring. We expect the one-time costs associated with the restructuring to be something less than $20 million for the full year, $8.7 million of which was reflected in Q1. We will continue to call out and quantify these transition costs in coming quarters. Finally, we are reiterating our expectation that our full-year 2023 adjusted EBITDA margin, excluding restructuring charges, will be approximately 10% at the midpoint of our revised revenue outlook range. I'll now turn the call back to the operator for the question-and-answer portion of the call.
Operator: Thank you. [Operator Instructions] The first question on the line comes from Youssef Squali of Truist. Please go ahead, your line is open.
Youssef Squali: Great. Thank you very much and good afternoon. A couple of questions for us. Lanny, on your Q2 guide, it looks like at the midpoint, it implies about a 17% growth year-on-year. Q1 was at 39%. Can you maybe just speak to April trends? And what kind of macroeconomic backdrop are you kind of baking into that new guy? Or is that just back to normal pre-COVID seasonality? That will be number one. And number two, Julia, some of your peers that have reported earnings in the last several days have actually also had some pretty impressive numbers. Can you maybe talk about the competitive environment today versus pre-pandemic and whether you feel that the business today is that I guess, on a relative basis, has gotten stronger competitively? Or is the competitive environment still kind of relatively stable? Thank you.
Lanny Baker: Youssef as we look at the year, first quarter and the second quarter, we're really pleased with the first quarter. The top line, the bottom line, and the product momentum that we had is really encouraging to us. And that's one of the reasons that we've been encouraged to raise the midpoint of the outlook range for the full year to what is roughly 24% year-over-year at the midpoint of that range. And along with that revenue growth, double-digit, 10% adjusted EBITDA margins are about twice where our margins were last year, and that's partly a benefit of the reorganization that we've done and it also includes investments we are making to drive the marketplace transition and future growth. As we look for the first quarter to the second quarter, our outlook contemplates fairly normal seasonality from the first quarter to the second quarter. And I think as you look at those comparisons, that were at the start of your question with a year ago, the first quarter of last year of 2022 was particularly weak with in January, the pandemic sort of back in force. And then as we got into the second quarter, there was a little bit of a release from that. And so that's probably affecting the comparisons on a quarter-by-quarter basis. But we're very encouraged by what we've seen at the start of the second quarter in terms of the seasonal pattern and see, overall, a slightly stronger year unfolding than we had seen at the start.
Julia Hartz: And on the competitive landscape, you said, I think overall, it's a very positive thing to see not only the World Health Organization announced the official end of the COVID pandemic, and the consumers worldwide wanting to get out to go to live shows, wanting to travel. This is all really great news for our business. And we see the competitive landscape as being one that continues to be incredibly fragmented. We expect that as live experiences continue to grow as seen through things like our 11 million paid consumers or our monthly active users on our app being up the highest it's ever been. We think that will continue to drive competitive activity. So through the last 3 years, we have been focused on creating the best platform for our market, and that has meant a concerted amount of focused effort around our upgrading our platform and improving our product experience. And when you get down to it, and think about why Eventbrite is in a position to win in our market. It comes down to two things. First, it's low cost of growth in this business. So, our customer acquisition cost is a competitive moat with 99% of our customers on the supply side coming through self-sign-on. And that's really driven by our superiority in things like SEO and our increasing creator confidence through our repositioning toward demand generation. So, really active ways that we're shifting the story.  The second thing is related to that. It's the high cost to switch, given the distribution and visibility on Eventbrite. Because Eventbrite has the scale to deliver consumers to our customers. It has the brand ubiquity in many categories and geographies. And it has the technology. We've never been complacent in upgrading our technology stack and adopting new technology and in improving the product experience. So I'm going to stay healthfully paranoid, but I see all signs as positive in terms of our competitive advantage and the active nature of the market.
Youssef Squali: That's great. Thank you both. Good to see things progressing well. Thank you.
Operator: The next question on the line comes from Matt Farrell of Piper Sandler. Please go ahead. Your line is now open.
Matt Farrell: Thanks, guys, and congrats on the really strong Q1 and in the full year guidance. You mentioned the strong growth in consumers on the platform during Q1, which is really great to see. I guess, first of all, how does that number compare to kind of pre-COVID levels? And as we think about the long-term, how should we think about the growth of consumer buyers on the platform as a lever of growth, compared to kind of some of the seller metrics that you gave at the analyst day last year?
Julia Hartz: Great. Yes. So, I mean, on the consumer front, we're really approaching pre-COVID levels and especially with high intent discovery experiences like our app, we're seeing record level engagement at 20 million monthly active users on the app. So that's an exciting data point for us in terms of how we're capturing consumer behavior and their engagement and then turning that into something of great value for our customers. Where the business is entirely different from 2019 is the in boost and ads.  I mean, we're giving creators an actual way to participate in driving demand to their events and engaging their audiences and building their communities. Boost is, is growing, Boost is growing, 20% percent from start to finish in Q1. Eventbrite ads uptake is as fast as we can add inventory. We're at 100 percent fulfillment. And we're also seeing about 25% of those of those users of ads and Boost be historically free creators, which, as you know, two thirds of our business is free. So this is a huge opportunity for us. And I think that that all of this culminates into a really healthy business for a very long tail and also driving great growth for our frequent paid creators, where total tickets were up 22% in the quarter at 15 million.
Lanny Baker: Strength on the consumer side engages with the sort of five gears of our business model that we introduced a year or so ago is in the number of tickets per event. And in this first quarter, we were at 44 tickets per event compared to 41 tickets per event in the first quarter of last year. And that those incremental three tickets are, as Julia said, really high margin for the creators on our platform. And this is an area of tremendous value and differentiation for the Eventbrite platform, an area where we're going to continue to invest, not only in bringing people to our doorstep, distributing our events more broadly, but improving the conversion funnel, the work that we're doing on personalization, the richness of the listings, including video, and much better imagery from the creators about their events. All these things help the consumers make more confident choices and drive ticket volume.
Matt Farrell: And maybe just one more. Could you just give an update on the health of the creator as we sit here in early May? Has confidence improved at all compared to the beginning of the year? And are Boosts and ads helping to alleviate concerns about demand for events moving forward as we look into the back half of the year?
Julia Hartz: Sure. So we are definitely seeing creator confidence return. And the reason why we can say that with confidence is that we added 115,000 new creators in Q1, which is our best number in a year. And we're seeing the latency from demand signals to supply creation really shortened. And we believe that our ability to reposition Eventbrite through different marketing campaigns. We recently released one called Finder People on the creator side and then on the consumer side, we launched you've got plans with the subtext of GTFO. I just had to get that in here, are really driving this flywheel of marketing-led growth to help creators see that with real data and signal to them that they can have high confidence, they can come to Eventbrite and sell tickets. And so I think the flywheel is growing organically as well. There's a nice tailwind with people wanting to get out. I think folks are getting pretty tired of sitting in their homes, and they want to get out. They want to go to unique and local events that are also accessible in price, something they can do with their friends, and it makes their lives better. So there's this really nice secular tailwind that it's really nice to see.
Operator: Thank you. The next question comes from Dae Lee from JPMorgan. Please go ahead. Your line is now open.
Dae Lee: Great the first one around the topic of AI. It sounds like you guys are integrating pacing some of your products already. But how are you thinking about the potential of that technology to your sector of your business? And would there be a need to change your product roadmap through to some of these newer technologies? Or do you have more like a complementary to some to the work that you guys are already on.
Julia Hartz: Thanks, Dae. Well, I mean, we don't have an hour. So I'm going to just try to keep it short. I mean, I think that any company that has user-generated content at the basis of what they produce is going through this really exciting moment. We have adopted ChatGPT-enabled technology to allow our creators to be able to generate more effective content, whether that's through Boost and their social paid ad copy or through their event listing. And I want to focus on maybe three areas that I think are near to midterm for us in terms of where we're going to be looking to implement the new technology as it rolls out. So the first is around creating that event listing. This is all for us. This is where our customers are spending a lot of time as they onboard to Eventbrite. And we are looking for ways to make that take seconds, not minutes. And that's an exciting opportunity for our customers because we can help them be able to put their best foot forward to create a really effective storefront for their events and to continue to be able to see this innovation and enable them to be more efficient is a core part of our goal. The second is in how consumers search and discover events. I think search has forever changed. And this opportunity for us to deliver the right event to the right person at the right time on demand in a way that's really elegant and it disrupts the traditional and legacy browsing behavior is a big opportunity for Eventbrite, especially given the inventory we had. I mean, with 1.5 million events in the quarter, you can imagine that we can do a lot here to really make search, the search experience, the recommendation experience far more relevant. And then the third thing that, I think is a bit unique to where we sit is we have a treasure trove of data on where consumers want to be and what they want to be doing. We see ourselves as a copilot to our creators, and we want to be able to give them insights and recommendations to make their events more effective and to give them the insight that they previously couldn't access on their own. And certainly, they don't have large marketing teams. And so we know that we can do that more effectively for them and essentially help them grow their businesses faster. And that would be probably my top 3. But if you ask me in a month, I'll have a longer list as well.
Dae Lee: Well, I guess as a follow-up on both on that, given the success that you're seeing already, what's the best way for us to think about the long-term opportunity of these products and, I guess, demand generation tools in general? I think in the past you talked about creator spending about 20% to 40% of the value on marketing, which is greater than ticketing. Should we expect our cost and generation pools to become bigger than ticketing in the longer term? And are you already seeing some of your creators spending more on, I guess, post-the math relative to how much they're spending on your ticketing capabilities?
Lanny Baker: Sure. Yes. There are a lot of ways to think about I give you two, I think very important data points. One is that in recent research surveys that we fielded with existing creators, as well as not currently on our platform, but are considering it. We asked them about how much of the economics of their event comes from ticket sales alone, and that number is a little bit under 50% of their event economics are from ticketing, and the rest as Julia said, are from merchandise and food and wine, and alcohol, or beverages, as well as memberships, all kinds of other things. And the ability for, and the interest, amongst creators for marketing those events, is not just ticket sales, It's for all those ancillaries. So it is the case in our research as well that the creators are spending ad budgets that look like 20% to 40% of the face value of the ticket. There's reason to believe and where I see some of our data with some customers, numbers can be at the upper end of that given the fact that there's so much economics beyond the ticket sale. Now, it's going to take us some time to get to those levels. We're rapidly expanding the inventory that's available for advertising. We've added a couple additional surfaces within the Eventbrite experience and we're really pleased to see that the ad fulfillment stays very, very, very close to 100% telling us the demand for the advertising that we open up remains really strong. The one other point I'd make is that the free base of Eventbrite has been a tremendous exposure, and reach, and scale advantage for us. It helps us on customer acquisition and builds our brand. But that free business in which there were about 200,000 creators during the quarter and about a 1 million free events are also potential customers and active customers today already for Eventbrite ads and for Boost. In fact, I think we said, 25% of the customers adopting those demand generation solutions are creators of free events who have those non-ticketing economics behind those events. So in the long-term, this is a tremendous opportunity, we believe, we are leaning into that positioning of Eventbrite as the place to generate demand, to get incremental demand, to expand the follower base for your business, to expand the reach of your events. And the long-term, we think that's a really significant opportunity. That's why we're so focused upon.
Dae Lee: Great. That makes sense. Thank you, both.
Operator: Next question on the line comes from Cameron Perrone of Morgan Stanley. Please go ahead. Your line is open.
Cameron Perrone : Hi. Thanks for taking my questions. Two if I can. First on gross margin improvement. Lanny, how should I contextualize the -- what the comments that you made around reaching into the high 60s with if I look at the incremental unit economics from the first quarter just versus the fourth quarter as your take rate improved, I think the incremental on that is almost 80%. So just helping think through whether high 60s is kind of the first step towards going higher as you push take rate higher or any color there? And then on the adjusted EBITDA guidance for the year, you just did on an adjusted basis, 13% in the first quarter. How should we think about the 10% the full year within that backdrop? Thanks.
Lanny Baker : Sure. On your first question about gross margins, we're not trying to be cute. There's nothing that stops the gross margins from moving beyond the high 60s, but we've got a way to go to get into the high 60s. The more we are driving revenue from our demand generation solution the incremental profitability at the gross margin level from that is very, very high. It's probably as much as 20 points higher gross margins than the core ticketing business where there's a larger payments processing cost associated with those revenues. But even within the core ticketing business, there is room for the gross margins to expand. So we've made a lot of progress on gross margins over the last couple years, and there's more to come. As we look at the adjusted EBITDA, yes, we're excited to be at the 13% excluding restructuring charges in the first quarter. Remember that that number, our revenue for the first quarter was above the high end of our outlook for the first quarter, the 10% target we're talking about for the full year is at the midpoint of the outlook range. And I think that just really highlights the high marginal profitability of incremental revenue growth. We drove I think something like 40% of the year-over-year revenue growth down to the bottom line in the first quarter. And we've done that in prior quarters, and it does show the sort of operating leverage. So I think 10% is the right place to be right now in terms of our full year expectation. We will have some investments we're making over the course of the year to continue the market replace transition. We also have the fuller benefit of the expense reductions, but we think we're being conservative and appropriate at that level.
Cameron Perrone : Okay. Great. Thanks.
Operator: The next question on the line comes from Miles Jakubiak from KeyBanc Capital Markets. Please go ahead. Your line is open.
Miles Jakubiak : Hi there. Thanks for taking the question. First, I guess, can you discuss the learnings from your redesigned event listing pages and how both creators and consumers have been responding to it? And then just a general update on how restructuring efforts are going to date. Thank you.
Julia Hartz : Sure. So the work that we're doing on event listings is really around making them more consumer-friendly and helping creators be able to bring to life you know, the vibe of an event, it's hard to show what an event is like through static images, and we've added video and a hero image carousel to create more, a more dynamic experience for consumers when they're landing on that page and making a buying decision. And this is in part work that we're doing as a collective to increase the conversion rate of a consumer who has discovered an event and converting them into a buyer. And so what we do there is really look at the conversion funnel. We're very pleased with the work that we've rolled out. It's finely tuned to execution on the product side, so it's highly metricized. We are running multiple concurrent experiments on the event listings page and the checkout flow constantly. And so I'm really pleased to see that moving at, the velocity it's moving at, and we'll have more to share further down the line toward the mid-part of this year as these changes have rolled out. But in terms of adoption, I think we've seen at least 20% of new events that have been created since we rolled out the hero image carousel, adopt this feature, which is a really strong indication that it's something that creators want. Video, it's like days So, I need more time to collect the data on that, but we think adding, again, adding moving images to event listings is paramount to engaging consumers.
Lanny Baker : And on the restructuring, progress looks great so far. Attrition across the company is low. We're on track for expense reduction, $13 million, $14 million of annualized savings, the total operating costs were down in the first quarter from where they were in the fourth quarter. And I think if you look at expense ratios comparing product and development or sales and marketing or G&A expenses to revenue, you'll see progress both quarter-over-quarter and year-over-year on almost all those lines. We are hiring in Spain and India where we're building out those hubs, and restructuring's ongoing. It's -- I think, after about 60 days, 90 days, everything is on track.
Miles Jakubiak : Great. Thank you.
Operator: Thank you, everyone. We have no further questions. Therefore, this does conclude today's conference call. Thank you all for joining. You may now disconnect your lines.